Operator: Good day and thank you for standing by. Welcome to the Everest Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call off to Jon Levenson with Everest.
Jon Levenson: Good morning, and welcome to the Everest Re Group Limited 2021 fourth quarter and year-end earnings conference call. The Everest Executives leading today's call are Juan Andrade, President and Chief Executive Officer; Mark Kociancic, Executive Vice President and Chief Financial Officer. We are also joined by other members of the Everest management team. Before we begin, I will preface the comments on today's call by noting that Everest SEC filings include extensive disclosures with respect to forward-looking statements. Management comments regarding estimates, projections and similar are subject to the risks, uncertainties and assumptions as noted in these filings. Management may also refer to certain non-GAAP financial measures. These items are reconciled in our earnings release and financial supplement. With that, I turn the call over to Juan Andrade.
Juan Andrade: Thank you Jon. Good morning everyone. And thank you for joining us today. 2021 was a pivotal year of profitable growth and continued momentum for Everest. We finished the year with a strong quarter and achieved record growth in both our franchises, drove expanding margins and solid underwriting profitability and generated exceptional investment income. This led to a $1.4 billion in net income for the year and a milestone 14.7% total shareholder return against the 13% target. These results reflect the strong earnings power of our diversified businesses to create value for our shareholders, even in years of elevated natural catastrophes. With a more profitable book of business coming out of a well-executed January 1 reinsurance renewal season, and expanding global value proposition, a strong balance sheet and exceptional talent, we entered 2022 well positioned to deliver on our strategic objectives. Before I provide details about our results, I want to acknowledge the contributions of my global colleagues this year. 2021 was challenging for our industry. Despite the continued global pandemic and significant climate driven catastrophes, we advanced our strategic priorities with disciplined execution and delivered first class products and solutions to our customers. In 2021, we accelerated many of our strategic priorities, building on a discipline foundation that drives greater profitability and less volatility in our business. We make key investments in the people, technology, and infrastructure that are optimizing all three of our core earnings drivers, reinsurance, insurance, and investments for superior performance. First, our underwriting franchises. We continue to build on our market leading position in global P&C reinsurance. As a preferred provider with diverse product offerings and relevant client driven solutions, our insurance franchise is scaling and diversifying, increasing margins, and driving relevance in more markets through a focus underwriting and distribution strategy and an expanding footprint. And the market is responding with increased demand for our products, evidenced by strong growth in both franchises, and consecutive quarterly top line records in insurance this year. Focused execution in 2021 led to a solid underwriting outcome that is particularly meaningful in the context of a $130 billion catastrophe year. Our continued diversification, volatility reduction, and disciplined underwriting are yielding profitable returns. A recent example is our success executing a clearly defined and measured strategy into January 1 renewal average this year to a focus plan. This resulted in our current portfolio being stronger, more diversified, and more profitable. Our commitment to operational excellence and an entrepreneurial model that keeps us agile and responsive to our clients ready to pivot with rapidly changing market conditions is a big part of how we accomplish this. To this end, we made material inroads in 2021 on our path to becoming a digitally enabled organization through superior data, analytics and technology that are bringing more depth and dimension to how we manage segment and model risk with greater speed and precision. With regard to investments, performance was excellent in 2021 driven by a prudent approach to optimizing a well-balanced, high credit quality investment portfolio that supports our franchises and helps to drive meaningful returns. Reflecting on Everest accomplishments in the past year, I am proud of the diverse, inclusive and purpose driven culture that supports everything we do. Our continued emphasis of ESG as a core pillar of our long term strategy was most recently reflected by our decision to become a signatory to the UN principles for sustainable insurance. Finally, talent drives our performance. Everest is proud to be an employer of choice in our industry and throughout the year we attracted and events exceptional talents across the global organization who will help us to drive this next chapter of profitable growth and bring our offering to more customers around the globe. Let’s turn to our financial results for the fourth quarter and the full year 2021. Beginning with our group results. In the quarter, we grew gross written premiums by 25%. Growth was broad and diversified across both segments. In the fourth quarter, we generated $228 million in underwriting profit with a combined ratio of 91.1 and an attritional combined ratio of 87.4 reflecting continued margin expansion in our insurance division. Turning to the full year 2021, average grew gross written premiums 25% setting a new record for our company of over $13 billion. Net written premiums grew 26% year-over-year The group combined ratio was 97.8% including 1.1 billion in catastrophe losses which is less than 1% of the industry’s estimated $130 billion loss in 2021, reflecting our disciplined underwriting and reduced volatility. The group attritional combined ratio was 87.6 for the year. These results demonstrate the progress against our strategic priorities to continue to optimize the portfolio to drive margin. Prudently manage expenses and enhance operational efficiencies. Let’s turn to our reinsurance results. Our reinsurance division had a strong fourth quarter and finished the year solidly with gross written premium exceeding 9 billion a 25% increase over 2020. Gross written premium growth in the fourth quarter was excellent up 26%. This growth was broad based and supported by underlying rate increases and the economic growth, increased opportunities with our core trading partners, targeted growth on profitable property and casualty programs. The division generated a 176 million of underwriting profit in the fourth quarter with a combined ratio of 91.5. The attritional combined ratio for the quarter was 86.4 reflecting the continued performance of our portfolio, the successful execution of our strategy to participate in growth and margin improvement in the casualty market and on-going expense discipline. We ended 2021 with a 98.1 combined ratio and an attritional combined ratio of 86.3. These results reflect our progress in reshaping our risk profile to achieve superior returns. We continue to actively diversify our reinsurance portfolio with an improved balance of property and casualty exposures. We are disciplined and focused about getting appropriately for risk. We made meaningful progress advancing these priorities to the January 1, 2022 renewal period that started with a cleared and focussed strategy with three key objectives. One, continue reducing volatility in our overall book by decreasing cat exposure and growing less volatile non-catastrophe loss. Two, optimize our property portfolio to maximized returns. And three focussed capacity with top underwriters. The breadth of average preferred market position built over decades and strong trading relationships combined with our size and capital gave us a distinct advantage. Our team was precise above where we deployed capital and focused on improving the economics in our property book. We maintain discipline where pricing did not meet our returned vessels. Rate increases were favorable across most property and casualty lines, with financial lines and loss effective property lines seeing the highest uptake. For example, loss effective programs in Europe particularly in Germany. Many catastrophe programs were restructured to ensure participation on higher layers. Despite how late the property renewals came together, there was ample capacity available for most seasons outside of retro and loss impacted aggregate covers. While the casualty market was competitive with upward pressure on ceding commissions, continued underlying rate improvements helped drive better overall economics, notably in casualty quota share. We successfully achieved targeted growth in our Retail Continental European portfolio across P&C lines, as well as our U.K. excessive loss portfolio. Within property, we reduced our exposure to property retro, lower margin property, pro rata business and working catastrophe layers, while at the same time growing targeted clients at excellent terms. Overall, we meaningfully reduce catastrophe loss potential in our book and achieve gross premium [ph] reductions in key peak zones. We have a more profitable and higher margin book. I'm proud of the team's discipline during a dynamic renewable season. Now a few comments about Mt. Logan. Mt. Logan plays an important role in our long term growth aspirations, and is uniquely positioned given its excellent alignment with the average property portfolio. We have a strong pipeline of prospective investors. We remain optimistic about the prospects for Logan and we continue investing in the platform with new products customized to meet investor’s objectives. During the year, we also strengthened our leadership bench and key promotions and hires, in North America, Latin America and elsewhere internationally. And in Mt. Logan. These talents, positions and promotions were part of a successful effort to optimize and streamline our structure, which is already benefiting the organization. In summary, our reinsurance business is better positioned today to support strong underwriting income results, capitalize on market opportunities, and further expand our market leadership. Now let's turn to the insurance division. Insurance had an excellent fourth quarter, delivering both top line growth and bottom line profitability, supported by continued strong underlying performance and progress in the long term targets outlined in our strategic plan. Insurance growth in the fourth quarter was 21%. We achieved over 1 billion in gross written premium for the third consecutive quarter. This resulted in a record 4 billion in gross written premiums for the year, or up 24% over 2020. The growth in the fourth quarter was influenced by a few factors. First, we continue to benefit from increasing exposures as the economy rebounds. Second, strong renewal retention, favorable market conditions and double digit rate increases across all of our target classes, excluding workers compensation, where rates are slightly down. Third, sales execution, we deepened and diversified our distribution network. And we sharpened our execution with a quantitative and metrics based approach to sales. As a result, we improve our hit ratios by 24% and 32% year-over-year in our retail and wholesale channels respectively. Four, strong new business growth in both retail and wholesale channels, primarily in casualty, professional, and transactional liability, along with accidents and health, partially offsetting the growth was targeted portfolio repositioning in our U.S. property and catastrophe exposed business where we continue to reduce overall volatility and improve margins. This includes on-going portfolio management related to modeling [ph] workers compensation, which is now only about 7% of global gross written premiums. We delivered another strong underwriting result with a quarterly combined ratio of 92.8 and an underwriting profit of 52 million. Our underlying performance was also outstanding. The 90.4 attritional combined ratio is a 3.4 point improvement, compared to the fourth quarter of 2020 and an almost eight point improvement since 2019. Our loss ratio, commission ratio and operating expense ratios all improved, including a 3.8 point loss ratio improvement for the fourth quarter. We are committed to sustaining this positive momentum and we are sharpening our focus in two key areas to achieve it. First, is proactive cycle management. We are building a diversified business. As I mentioned, we continue to see growth in a number of our specialty lines, and we will grow more profitable crop classes of business over time. Our diversified product offering and relevance in both the E&S and Retail channels allow us to seize new opportunities in the evolving market. Second is increased efficiency and scale. For instance we are increasing efficiency by enhancing our claims process to improve productivity, speed and accuracy, resulting in better claims outcomes and higher customer satisfaction. An important part of this our continued investment in advanced tools, such as robotic process automation, artificial intelligence, and natural language processing, which creates greater operational efficiencies, and delivers better insights, enabling fact based decisions and best-in-class customer experiences. As to scale, we also expanded our footprint in Latin America, Asia, and Europe, where we see opportunity to profitably grow across the 800 billion plus global commercial P&C industry. We have a thoughtful expansion plan outside of North America that brings together existing capabilities, expertise and knowledge to a broader and more global customer base in places where we can grow profitably. Building our company for the future is a marathon, it’s not a sprint. I'm very encouraged by the ambition, the tenacity, and the hard work this team consistently demonstrates. I'm proud of our results, but we remain hyper focused on daily execution as we position our company for the future. An agile global company focused on providing exceptional service and risk solutions to our clients, a company that is respected for its influence and impact in the marketplace. That follows a strong risk management framework that delivers consistent and leading returns with a world class global team united by the passion to win. Now I will turn it over to Mark Kociancic to take us through the numbers in more details.
Mark Kociancic: Thank you, Juan and good morning everyone. Everest continued to make excellent progress executing its strategic plan during the quarter and the full year 2021 as we remain well on track to achieve our investor day strategic plan objectives, notably the full year 13% or greater total shareholder return, or TSR. I'll spend some time providing additional context on the underlying assumptions. But first, let's review the fourth quarter and full year results. For the fourth quarter of 2021, Everest reported gross written premium of 3.4 billion, representing 25% growth over the same quarter a year ago. By segment, reinsurance grew 26% to 2.4 billion and insurance once again reported gross written premium of 1 billion in the quarter, representing 21% year-over-year growth. For the full year 2021, Everest achieved 13 billion in total gross written premium, 9 billion for reinsurance and 4 billion for insurance. Turning to net income, for the fourth quarter of 2021 Everest delivered strong net income of 431 million equal to $10.94 per diluted share, and an annualized return on equity of 17.7%. On an operating income basis, the numbers are 359 million for the quarter, and $9.12 per diluted share, with an annualized operating return on equity of 14.8%. For the full year 2021 net income was 1.38 billion equal to $34.62 per diluted share, and a full year return on equity of 14.6%. Operating income for the year was 1.15 billion, or $28.97 per diluted share equal to an operating ROE of 12.2%. Book value per share ended the year at $258.21, an increase of 8.7% for the year adjusted for dividends. The TSR for the year stands at 14.7%, which as one noted exceeds our 2023 full year target and reflects the robust and well diversified earnings power of Everest. Let me focus on several key financial highlights of the fourth quarter. We incurred $125 million of pretax cat losses net of reinsurance and reinstatement premiums in the quarter, with the primary event being the Canadian crop loss and the amount of $80 million. We've profitably underwritten the Canadian crop market for a number of years and view this as an attractive long term business. The crop loss event is one of the largest property casualty losses in Canadian history at nearly $6 billion with the underlying drought conditions unseen for 60 years. The other significant pretax cap loss, net of reinsurance and reinstatement premiums in the quarter was from the quad state tornados, which took place in December, $45 million in total, $30 million in our reinsurance segment and $15 million in insurance. We also know that there was not any unfavorable prior period, or prior year development in the cat losses this quarter. For 2022 Everest expects a cat load of less than 6% in line with our 6% to 7% investor day guidance, and driven by a combination of reduced volatility from our cap portfolio, and expanding into other lines with higher risk adjusted margin. Consistent with prior quarters, we remain confident in Everest's overall reserve position. Starting with one's [ph] arrival at Everest, we've continued to strengthen and improve our reserve processes in a number of ways; in the establishment of prudent initial loss picks, a balanced and timely scheduled during the year to review our reserves, and taking decisive action when needed. All of this is driven by improved processes and analysis tools to allow our actuaries to focus on interpreting the numbers and making the most informed decisions. Our COVID-19 incurred loss provision remains consistent at 511 million total incurred. This number is unchanged since here in 2020. The majority of this reserve remains is IBNR. And we remain confident in our overall COVID reserve position. We reconfirm our strategic plan assumption for combined ratio, with the range of 91% to 93% for the group for the full year 2022. Our overall 2021 combined ratio stood at 97.8% driven by cat losses, ending the year at 10.9 points. The disciplined cap book underwriting achieved at January 1 is meaningful and will reduce volatility on an expected basis, thus further insulating Everest from outsized cat losses. Our attritional combined ratio stood at 87.6% broadly stable versus 2020. Everest continues to have a very competitive expense ratio; 5.7% for the quarter, and 5.6% for the year, below our working assumption of approximately 6% for the group, as shared in our strategic plan. Specific to this quarter, other underwriting expenses and reinsurance reflect some non-recurring charges and I expect the reinsurance expense ratio to remain under 3% for 2022. Investment income for the quarter was 205 million, ending an exceptional year with 1.16 billion in pretax net investment income. The Everest investment portfolio continues to be refined within the tolerances detailed in our June investor day, with a focus on asset liability duration matching, strong credit quality and liquidity and improving capital efficiency, all while enhancing yield for our core portfolio, which are assets backing reserves. For our total return portfolio, which is private equity focus, we see good opportunities for continued investment. And within our core portfolio, we have nearly 20% of our fixed income investments and floating rate investments, which affords Everest good insulation from a rising interest rate environment. We also continue to run duration at 3.2 years, somewhat shorter than our liability duration of approximately four years. Specific to our limited partnership investments, the excellent contribution during 2021 is from a well-diversified portfolio. And we see continued room to add to this asset class under our strategic plan targets. Finally, to conclude on investments we reaffirm our 2022 expected return on invested assets in the range of 2.75% to 3.25%. For the full year 2021, Everest generated an exceptional 3.8 billion in operating cash flow driven by strong premium growth. This cash flow in our $1 billion debt offering fueled our investment portfolio, which ended the year at 29.7 billion of assets under management. The Everest balance sheet ended 2021 in an excellent position, shareholders’ equity was 10.1 billion at year-end 2021 and we continue to optimize our capital structure with the $1 billion Senior Notes offering completed in early October. At a three and an eighth coupon, this 31-year offering further lowers our overall cost of capital, while expanding our underwriting firepower. Our financial leverage at year-end was 20.2% and we see that ratio within our 15% to 20% strategic plan assumption range by the end of 2023. As part of our capital management strategy, we also repurchase $25 million in Everest common shares during the quarter, bringing the full year total to 225 million. For the full year, our net income tax rate was 10.8% and we see 11% to 12% as a good estimate for net income tax rate in 2022. 2021 validated the progress Everest has made towards our 2023 strategic plan objectives. Our underwriting businesses are vibrant and profitable. Our investment portfolio was well optimized for the current market environment, and our balance sheet and franchise provide us with the optionality to grow into classes and territories where we see the highest returns. Everest is well positioned to seize market opportunities and navigate the current macroeconomic environment. And with that, I'll now turn it back to Jon.
Jon Levenson: Thanks Mark. Operator, we are now ready to open the line for questions. We do ask that you please limit your questions to two or one question plus one follow up and then re-join the queue if you have any remaining questions.
Operator: [Operator Instructions] And the first question comes from Josh Shanker with Bank of America.
Joshua Shanker: Thank you very much. Good quarter and great outlook and I’m thinking 25 million in shares repurchases in 4Q and I'm trying to figure out what the ROI on incremental capital use is for insurance, versus reinsurance versus ploughing [ph] into your stock at this price.
Mark Kociancic: Josh its Mark. Good morning and thanks for the compliments on the results. So we're --let me split this into a few buckets. So when we allocate capital, we're certainly privileging organic growth, and different opportunities competing against each other, whether it's the capital management aspect, or expanding the franchises in reinsurance, or insurance. And so our TSR objective of at least 13% is really the cornerstone on a risk adjusted basis when we look at these different opportunities. And so we have ample capital to deploy in both businesses and also for capital management actions, like share buybacks, were unconstrained in that aspect. And so I think in 2022, you'll see this philosophy continued.
Joshua Shanker: Are all options almost equal at these prices? Or like, is there a difference in where you'd prefer to put capital if you can only make one choice?
Mark Kociancic: Well, we definitely privilege the organic growth, because I think that expands the franchise, and we're going to create more long term value for shareholders. So I would definitely put that one. Within that you've got three buckets, insurance, reinsurance and investments which are equally competing for capital and for opportunities. I think the share buybacks are certainly on the table at the same time, and we're looking at it opportunistically during the year.
Joshua Shanker: And in that regard, and reinsurance renewals and trending, what's happening with ceding commissions? How is it impacting the returns in that business? And do you have an outlook for where that's going to impact numbers in the future?
Jim Williamson: Sure. Hey, Josh, this is Jim Williamson. Yes, just to give you a little bit of perspective, particularly around what we saw at one, one. We've been pursuing in a very deliberate fashion a strategy of growing with our core scenes particularly in casualty lines, and particularly on a pro rata basis. And we've had a great deal of success through one, one with that strategy and feel really good about the results that we're seeing. Look there's no question that there is a significant change taking place in the underlying insurance markets. Margins are expanding very quickly, we see rate well ahead of loss trend. Limits are being reduced. Coverage grants are being narrowed. And so all of those things add up to creating margin for our scenes, and then for us as we participate in those programs. And as you can imagine, there's going to be some trade around that with respect to ceding commissions. And so we have seen over the last couple of years, and we certainly saw a little bit at one one, some upward pressure on ceding commissions in the casualty market, we think they were they remain reasonable. For the most part, there were definitely programs that were beyond reasonable, and we don't participate in those programs, but mostly reasonable. And I think the bottom line is the margin that's being created, plus a little extra seeds still results in improving economics for us. On the property side, it was much more flat. As you can imagine, as people are seeking capacity and seeking to fill out their programs, we do see some improving economics in our book there. And the ceding commissions are not moving the same way they are in casualty.
Joshua Shanker: Thank you very much for the precise answers.
Jim Williamson: Thanks, Josh.
Operator: And your next question comes from the line of Michael Phillips with Morgan Stanley.
Michael Phillips: Thanks. Good morning. Kind of related question on reinsurance from the last month on ceding commissions. I guess on that, and Jim you just mentioned a bit of the profitability on the cedings. I guess I want to take that too, as the cedings kind of hold on to more risk and increase their own retentions, what does that mean for your outlook for how much of that was influencing growth this quarter? And what does that mean for your outlook for reinsurance growth and the year ahead?
Jim Williamson: Yes, sure, Mike, this is Jim again. To provide a little bit of perspective in terms of the fourth quarter growth rate for casualty, both on a pro rata and XOL basis, we achieved record levels of written premium, at what we view is very attractive margins. Those lines were essentially our fastest growing lines in the quarter. So I think that's an important fact. And look, at the end of the day, there are definitely cedings who think about how much of their own business they want to see to their reinsurers, particularly in the pro rata lines. And we did see around the margin, some movement away from pro rata structures, people shifting into XOL. However, one area that we focus very closely on is ceding selection. And what we're looking for when we choose to partner with a ceding with one of our core ceding in particular, are folks that consistently manage their reinsurance placements. And so we're trying to avoid cedings who are shifting quarter-to-quarter in terms of their participation. And we saw a lot of consistency among our cedings. I think the other piece that we've benefit from, given the strength of our franchise and our local trading relationships is in even in areas where maybe the total value of the session came down, there were areas where we were able to increase, share and sustain our revenue stream from our core clients. So all-in-all, I think a very successful fourth quarter and a very successful one, one from that perspective.
Michael Phillips: Okay, Jim thank you. It may be a little higher level question, maybe an industry question, I guess, as well. We've seen recently a lot of activity in the Florida market where some pretty big players are pulling out of the market. And one, I'm curious what you think that might mean for the industry, what we think that we think it means for maybe the next year or two for the industry, and maybe even specifically, any implications for your business in MLB [ph]. Thanks.
Juan Andrade: Yes, Mike. So this is Juan Andrade, and I'll start. Look, I think certainly what, what you saw take place in the industry in one one, and really, in the latter part of the fourth quarter was, frankly a lot of companies catching up on what we've been doing really over the last couple of years, which is looking at volatility and their book of business and making trade-offs and decisions on that. And again, this is something that we're ahead of the curve, as you've seen in our numbers, as you've seen in our calls and the dialogue that we've had. Look, the reality is that pricing in property cat has improved some, but it hasn't improved meaningfully enough to be able to justify and pay for the catastrophe exposure that we'll see that is really being driven by climate change. And so that has proven underwriters to be I think, a lot more prudent particularly in an environment like Florida and southeast wind in general. So I think the issue there becomes more of a public policy issue going forward, about capacity, the ability to ensure there's public policy questions with regard to zoning, with regard to construction, to essentially how we deal with a problem that we all have as a society that is related to the warming of the seas, rising sea levels, etcetera. But I would invite, I would invite Jim also to add maybe some commentary on that.
Jim Williamson: Yes, Mike, this is Jim. I'll just add a little bit more detail. I think one of the things that we clearly saw during the one one renewal was some meaningful dislocation in the retro market. And our expectation is that will play through into the Florida renewals in a very meaningful way. And so I do think there's going to be challenges as those renewals come up over the summer. And I think we're reasonably bullish that that could result in some significant rate increases, changes to programs, etcetera. That could present opportunity for us in a very selective way. Overtime, we've right sized our Florida or southeast wind portfolio. We are taking a level of risk that we're very comfortable with. And coming out of one, one, we do have dry powder that we can deploy selectively when we see great opportunities. And so if the sorts of trends that we're discussing here and the implication of your question come to pass, and there's a lot of dislocation in the Florida market, we might use it as an opportunity to selectively and in a very targeted fashion, pursue some incremental opportunity at great returns.
Michael Phillips: Thank you guys for the detail, appreciate it. Congrats on the quarter.
Jim Williamson: Thanks. Thanks, Mike.
Operator: Your next question comes from Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi, thanks. Good morning. My first question you guys provided a 6% cat load guidance for 2022, which is at the low end of the target you laid out at Investor day. So I'm assuming that this implies that there's some mix shift going on, as you've discussed, to towards casualty in a way from some property cat related businesses really, probably within your reinsurance business. So how do we think about this mix shift impacting the underlying margin, and particularly the underlying loss ratio in reinsurance? Because I know you reaffirmed your overall guidance for 2022. But if the cat load is lower, does that mean, the underlying margin itself or the underlying combined ratio is a little bit higher due just to the mix shift going on?
Juan Andrade: Yes, Elyse, this is Juan in. Thank you for the question. So let me break it up in a couple of points. And then I'll ask Mark Kociancic to jump in as well. With regard to the guidance that Mark gave on the cat loss ratio, he said less than 6%. And that's basically related to a lot of the de-risking actions that I spoke to, in my prepared remarks earlier in this call. The reality is we have meaningfully reduced catastrophe loss potential in our book. We've achieved PML reductions in key peaks zones, and we've improved their overall portfolio economics. Catastrophe limits to COVID has been reduced, with a favorable reduction in expected average annual loss. So that is the key driver of the cat loss ratio coming down from our perspective. The other part of that is the fact that we are diversifying the book into non-cat lines of business. But as far as we're concerned, the margin that we expect to generate from the reinsurance division, if anything will improve in 2022, because of the actions that we have taken, but I'll invite Mark to up to add some additional color.
Mark Kociancic: Yeah, good morning, Elyse. Not too much more to add to Juan's comments, because I think he was quite complete. But we're definitely seeing somewhat of a mix shift between the growth of cat and the growth of other non-cat lines. We’re firmly in the 91 to 93. I think we have pretty good confidence on that going forward. So I don't expect that to impact the underlying profitability on the reinsurance side very much. And on a risk adjusted basis, I think this makes the most sense, given where we are with market opportunities.
Elyse Greenspan: Thanks. And then my follow up question on S&P is in the process of collecting comments on it's a revised capital model that it's looking to put out there. We're just hoping to get some comments on how this could impact Everest. I know since you guys are have the U.S. based, I think that that would impact you less than some of the Bermuda peers. But if you could just give us a sense of how you're thinking through the impact of the capital model on Everest? Thank you.
Mark Kociancic: Yes, it’s Mark again, Elyse. So we're watching this as it as it develops. There's only been kind of high level proposals that have been shared with the industry and we've obviously been very engaged in terms of direct discussion and industry, the discussions on it. I really don't see that much of an impact based on what we know today. S&P is definitely extending their timetable for industry feedback and will provide, I think, more detailed proposals thereafter. I think the biggest thing, and you've highlighted it in your question is really the debt issuance capabilities of Bermuda regulated companies. And it's an important factor to distinguish that Everest has a U.S. Holdco. That issues -- has issued our debt in the past, and we expect it to continue to be the main issuing legal entity for Everest going forward. That is within a regulatory domicile of the U.S. as opposed to Bermuda, so it should be unaffected. And therefore, we would avoid some of the concerns that have been elevated with that aspect. The other parts, that they've come out with last development factor charges that are somewhat higher with corresponding diversification benefits. We'll see how that impacts the industry, as long as they're based on sound economics, I think we'll be fine. The cat loss adjustments that they're making, into a broader timescale, 200 one in 200 to one in 500 years I think makes a lot of sense. And we're very careful on tail risk nonetheless. So I think we'll be fine there. The last piece is really more on the investment side. We've got some comments to make there. But we've got a broadly diversified portfolio that's high credit quality, so not too concerned, but S&P is very well respected, and they have a big impact on the industry. So you're going to see, I'm sure many companies comment on these proposals as time goes on. But for us, I think it's, we don't expect it to be very impactful.
Elyse Greenspan: Thank you.
Mark Kociancic: Thanks, Elyse.
Operator: Your next question comes from Brian Meredith with UBS.
Brian Meredith: Yes, thanks. A couple of points for you here. First, Mark, I'm just curious, as an outsider, what's the best way for us to evaluate your excess capital position? I mean, look at your operating leverage is moving up. And that makes sense given the reductions in your P&L and kind of move it more towards insurance. How should we think about it that maybe should we continue to think about that operating leverage moving on?
Mark Kociancic: Well, we're in an access capital position; you know that we have the two debt raises. And I think we gave you pretty good guidance on the investor day in terms of our growth ambitions. And so for able to execute the strategic plan, I think we're going to be in good shape in terms of funding it. But we do have flexibility to grow more rapidly, as you saw last year, particularly in reinsurance where you saw approximately a 25% growth rate print, and we gave per annum guidance of 8 to 12. So there are times where we can really see what the market gives us. And then similarly on insurance, I think we're getting very strong growth there. Last year well over 20% and I think we've got a very good trajectory this year. I think that level of growth is probably the primary factor on how the excess capital develops in conjunction with the overall profitability of the group. So now we're in a, I think, a very good situation with excess capital, so no constraints on growing the group. And then we look at how the profitability evolves as we take into account future capital management actions, whether we're talking about buybacks or funding, more organic growth. I did mention last year, I’d say it might have even been Q4 in 2020. But I did see a lot of potential to improve the efficiency of the capital allocation in the group and you're getting to this point on operating leverage, there's probably some more that we can achieve and still be very capital efficient. And that's really kind of an all three buckets investments and the two divisions as well. So there is a bit more efficiency on that aspect that I would expect us to achieve in 2022. Thereafter, you're really talking about optimizing, but I like our position as it stands right now.
Brian Meredith: Great, thanks. Thanks for the answer. And the second question just on the 13% TSR that you guys have laid out what does that contemplate with respect to the interest rate environment. We obviously have interest rates have moved up subsequent to when you laid that out and that's an important part obviously of your TSR here. Its’ -- unrealized gains and losses on your on your book value. So how do we think about that?
Mark Kociancic: When we set up the plan last year, we took the base forecast for forward curves on interest rates. And that served as the underlying assumption primarily in the investment portfolio. And so I reaffirmed, for example, the investment returns. It's a factor that we have to manage in the execution of a plan. So whether it's underwriting or investments, and we're fine, with whatever direction that goes. Obviously if rates are rising, it's I think we got some more tailwind behind us. But it's one of the reasons when we went through the definition of the TSR that we excluded, the volatility that comes from unrealized gains and losses on the fixed income portfolio. And so that is where we expect not to be, we're creating real economic value, despite some of the macroeconomic volatility that can come from rates. And so that's why we set the TSR up the way, the way it is.
Brian Meredith: Great, thank you.
Operator: Your next question comes from the line of Ryan Tunis with Autonomous Research.
Ryan Tunis: Hey thanks, good morning. A question for Juan. So you gave us the targets at investor day and since then, interest rates have gone in our favor. You've lowered your cat load you're exceeding the TSR goals, even in a tough 2021 cat year. Are we on a normalized basis looks an excessive 13%. So could you just give us some context on why you're having to revisit this targets?
Juan Andrade: Yes Ryan, thank you. Thanks for the question. Thank you for recognizing the accomplishments too, by the way. Look, what we said at Investor Day back in June, is that 13%, essentially was the floor and what we actually said it's greater than 13%. Now obviously we can't predict the future. But what we are very much focused on are the drivers and aligning those drivers to be able to drive that 13% or better from that standpoint. We had a good start in 2021. We've been able to do that. And we're very focused with the actions that we've been talking about on this call on the underwriting of the cap portfolio, some of the actions that we continue to take on the insurance side to improve the profitability of the book to seek profitable growth. And all of that is aimed for leading returns. Right? That's, that's really the focus on here. And so again, I go back to what we said, if we'd like to achieve at least the 13% TSR over that period of time, and we're off to a good start.
Ryan Tunis: Thanks. And then, I guess, just on the loss ratio, and reinsurance. Obviously there's the reserve charge a year ago. And yes, I guess it seems somewhat prudent to be to reserve the level of conservatism in 2021. Is there some aspect of 2022 that is potentially maybe less of a margin of conservatism that you might need to give us a little bit more confidence, and you want to show improvement ability to this year?
Juan Andrade: Yes. So let me start, and then I'll ask Jim Williamson to add more color. So look, I think we have been prudent in setting our loss fix. I think we have been prudent in how we analyze the reserves, the process that we put in place, we got a lot more insight, and more granularity into the data into the numbers to allow us to react. So I feel pretty good about that. When you look at the external environment, there's obviously things that as an industry, we all keep an eye on, right? You definitely keep an eye on social inflation. In the 2020, 2021 period, we definitely saw a drop in frequency and a slowdown in the courts. I'm not sure we have seen the courts completely open back up to full efficiency at this point in time. So you do keep an eye on some of the social inflation factors that are there, particularly as you're writing loss, long tail line. So that's an important component of that. The other component that you keep an eye on is real inflation, right? Material inflation, supply chain disruptions, all of these types of things, and the impact that that could have on trend. So from our perspective, what we have done is we certainly have adapted our loss trend selects for 2021, 2022 to make sure that we are continuing to select prudent loss picks given all those macroeconomic factors that are there. But in addition to that, we have continued to do a number of actions on the portfolio to ensure that the business that we're putting on the books meets our margin standards and it's very profitable, right. So you have heard from me, you have heard from Jim earlier in the discussion, some of the approach that we took throughout 2021 that we took to the one one renewal season that Mike Karmilowicz and his team has done also on the insurance side so that on-going portfolio management, that is just good underwriting is a key hallmark of all of this to ensure that we can meet the targets that we've set out. But with that, let me ask Jim to talk specifically about the loss ratio and reinsurance.
Jim Williamson: Yes, sure. Sure, Ryan, this is Jim. I'll just, I'll just add a little bit more detail to give you a sense of the discussion we're having each quarter as we look at our loss picks. As you can imagine, we set those picks on the basis of assumptions around rate change, as well as assumptions around loss costs. And as Juan indicated amply in his comments, it's really that loss cost uncertainty, given the risk environment, we're in that that gives us pause around how quickly to react to good news on the other side of the equation on the rate side, and the underwriting actions that our cedings are taking. And what we have seen consistently quarter-over-quarter is, the rate component of that equation has come in better than we've expected, better than we planned for. We also believe that the underwriting actions and the re-underwriting and the segmentation and all the work our cedings are doing is ahead of our expectations. And so what we're looking for is the emergence of proof in our loss costs, as those lines mature, particularly on the longer tail lines, that would allow us to begin reflecting that, that good news. And it's still very early. I know, obviously we all want to see it emerge. But when we talk long tail, it does take years. I would say there are indications that would suggest we're seeing some of that. And I think, certainly my expectation is that we'll begin to see some improvement in the underlying attritional loss ratio for reinsurance, on the casualty side of the result of that. And then certainly the underwriting actions we've taken on property, particularly what we did at one one. I mean, all of those things ladder up to improving economics, which show up primarily obviously in the cat loss ratio, but I think will also benefit our traditional loss ratio and property. So a lot of good momentum. But we do have to be very prudent in terms of the timeline on when we recognize these things.
Ryan Tunis: Thank you.
Jim Williamson: Thanks Ryan.
Operator: And your next question comes from Yaron Kinar with Jeffries.
Yaron Kinar: Thank you. Good morning, I guess maybe heading on Ron’s last question and until -- question earlier. So you ended 2021 with a consolidated report a combined ratio of just under 98 and head into 11% cat load, you're targeting a 6% cat load for 2022. So that essentially already gets you to that 91 to 93 combined ratio targeted range. So I guess my question is why wouldn't we see further improvement or see that target move down from 91 to 93 unless you see some headwinds coming on the other side?
Juan Andrade: Well, let me start with that. I don't think we see any specific headwinds other than what we've already discussed, sort of in the macro environment, right. And we are essentially working our book of business, working our underwriting, working sensibly all the levers that we have to be able to meet and exceed on all those targets. And you clearly saw that in 2021, with the 14.7%, on the total shareholder return. But we are doing, I think, a very good job in shaping this book of business to drive very sustainable results over time. And a key component of that is what we've done on the catastrophes portfolio over the last few years. You saw the benefit of that in 2021. You saw the actions that we have been describing that we took at one, one 22. And I think all of that is a positive. So I'm not necessarily seeing any headwinds per se, other than just the macroeconomic environment being able to react to that. But what we control I feel pretty good about.
Yaron Kinar: Right. Okay. And then I just want to further maybe clarify or try to better understand the guidance around the reinsurance top line growth, so 8% to 12% CAGR through 2023. Was the target, clearly you're well in excess of that as of the end of 2021? Is what you're saying ultimately, that the base is 8% to 12%, but if you see opportunistic, or if you see the opportunity to grow beyond that, you'll take it, or do you see maybe significant slowing over the next few years because market conditions potentially change?
Juan Andrade: Yes Yaron, let me give you maybe a broader perspective and then I'll bring it down to reinsurance and I'll ask Jim to jump in as well to give you a few thoughts on growth and how we're looking at 2022. Number one, I would start by saying that we do remain very comfortable with the growth targets that we set out on investor day, last June. And as you pointed out, we're well on our way to achieving them, given the growth that we had in 2021. The second thing I would say is you've also seen us respond to opportunities in the market in both our underwriting divisions to grow our company and expand margins. So if the opportunity is there, we're able to take it. And the reason for that is pretty straightforward, right? We're nimble, we're agile, we have the relationships, the products, the platform, the capital, and the people to continue to be able to do that. So that gives us I think, a pretty good competitive advantage in a pretty dynamic environment to be able to do that. A third point I'll give you is that, and this goes back to the capital allocation discussion we were having earlier. We do have a diversified franchise that really works to our advantage. And the way we think about allocating capital is really who can give us the best economic return, as Mark said, is it insurance, reinsurance, or investments within the company. But keep in mind that our focus is always the same one. It’s underwriting results. That's the core focus. That's what we really are driving. And it goes to also Ryan's question earlier about the margin. And so that brings us to the specific landscape of 2022. And so as I look at the landscape, I continue to see excellent opportunities for growth in primary insurance, both in the U.S., as well as internationally. And when we think about reinsurance, I've seen more selective, more targeted opportunities in that area. And we're going to pick our spots. Frankly, that's the bottom line. But I think what you're hearing from us is, look, we have traction in 2021 going into 2022. We have dry powder, as Jim mentioned earlier, and we intend to capitalize on the opportunities that we see. But at the end of the day, it's about underwriting income and underwriting results. But Jim, I don’t know if you'd like to add anything?
Jim Williamson: Yes, Juan. I’ll just provide a little bit more detail around how we're executing within reinsurance to give you some flavor for this. We've as Juan has indicated, we've been pursuing a strategy that's very deliberate around what parts of the market we want to capitalize on. And in 2021, and really, in 2020, as well, we saw an opportunity with the significant shifts happening in the primary casualty markets, to participate alongside some of the best underwriters in the business in a really meaningful way. And so we've grown our in particular casualty pro rata business will end, in the fourth quarter, that's almost three quarters of a billion dollars in premium, it's very meaningful for us. And that allows us to participate in all those economic improvements that we've been talking about today. So that clearly drove a lot of significant growth. So if we translate that, that then into how we executed in one one, the strategy is very consistent, we saw an opportunity to be thoughtful about where we're deploying cat capacity that will result in an improvement obviously, in the cat loss ratio, which we view as a very good thing. We were very focused on where we deploy our cat capacity. We absolutely moved away from retro and aggregate structures, moved away from working layers, continued to support our core cedings, optimize the portfolio, particularly in the pro rata space, and also target some selective growth in cat with key customers. And then on the casualty side, we continue to see some really nice opportunities for growth in a very targeted way, with our core cedings on some programs that that are new or emerging in the market. And, and we and we certainly react to those opportunities as well. So it's going to be very consistent, it's going to be targeted. And it's going to be sort of scaled relative to the market opportunity that exists. And as Juan said, we have dry powder. We've created nice margins, and we can react if new opportunities emerge during the renewal seasons for the rest of the year.
Yaron Kinar: Thanks for the helpful answers.
Operator: Your next question comes from Mike Zaremski with Wolfe Research.
Mike Zaremski: Hey, great. Good Morning. Juan, first question on the prepared remarks Juan you talked about in the primary insurance segment. I believe you've talked about improving your analytics and improve your hit ratios on sales by a meaningful mark. Maybe you can kind of elaborate it seemed like a meaningful increase and the hit ratio thriving sales and is that new business since you're tweaking the underwriting [Indiscernible] is it the booking guys maybe more conservatively to on the onset?
Juan Andrade: Yes Mike thanks. That's actually a very important thing you've highlighted because I think that also goes to the question that Yaron was asking a little bit ago about how we see the growth momentum into 2022. Look, I've said this before. Those who execute best when and distribution is a key component of all of that. So we're doing a number of things on the distribution area to be a lot more productive and be a lot more efficient. Number one, one of the things that we have done particularly in the U.S., is really expand our regional structure in the field, to be able to have more people on the ground, closer to our distribution closer to our brokers, to be able to plan our product offering and just be a lot more thoughtful about the solutions that we can sell, the solutions that are needed by them, etcetera. But backing all of that is essentially a shift into a much more quantitative approach to sales, where we now have very good data, very good intelligence at the underwriter level at the broker level, on what submissions we're getting, how we're looking at those submissions, how we triage those submissions, etcetera, etcetera. So the bottom line is that we're being much more effective at asking for what we want, what's within our risk appetite, and then being able to be much more efficient about what we bind based on what's coming into the funnel in the pipeline. And that's what you're seeing those hit ratios basically go up. So it's making this a lot more productive within our risk appetite. But I'll ask Mike Karmilowicz to add a little bit to that as well.
Mike Karmilowicz: Sure. This is Mike Karmilowicz, thank you for the question. I would just add a couple of things to that. Besides in distribution, we've been adding talent in addition, and changing the culture from more of a sales focus and customer mind set. So with that, the data analytics that Juan was talking about, we've been very much focused on simplifying our structure. So we can be a lot more efficient how we go to market in our offering is so we can bring it together and coordinate it more effectively, as an example. And what that's doing is we've developed sales pipelines. And we're being much more tactical with our distribution partners, which is allowing us to increase our hit ratio, and actually continue to improve, again, our success with our trading partners. So I think you'll see that as a continuation. So this is early days, but we're making a lot of progress in 2021 was an example of that.
Mike Zaremski: Okay, that’s great color. My follow up, is just an update curious on inorganic growth. Is Everest still open to any potentially sizable deals in strategic lines of business that could aid the long term hourly profile?
Juan Andrade: Yes Mike, it's Juan. And again, thanks for the question on that. Look, I'm pretty consistent on this theme. And you've heard me say this before, which is our strategy is organic, right. That's what we can plan for. That's what we're executing. And that is an insurance that is and reinsurance at this point in time. Now, that being said, as Mark pointed out, we do have access capital. And if we do see an opportunity along the way, that's interesting. Obviously, it's something that we will consider, but I'm not considering or looking at sort of transformative type things, etcetera. This would be more a full time does it help us in a particular geography, a particular product line, etcetera, etcetera. But the strategy remains an organic focus strategy.
Mike Zaremski: Understood. Thank you.
Juan Andrade: Thanks, Mike.
Operator: And your final question comes from Meyer Shields with KBW.
Meyer Shields: Thanks. Good morning. I appreciate you putting me in. Juan, in your comments you talked about a specific growth strategy for outside of North America. And I thought if we can get a little bit more color about the I guess regions lines, and specifically like the sort of risks that could hinder underwriting profitability in that new article as you penetrate those markets.
Juan Andrade: Yes Meyer, thank you. It's good to hear from you. Let me expand on that a little bit. So basically, we have been talking about really, since the past year, about a pretty thoughtful and disciplined strategy to essentially be the next phase of our development on the primary insurance site outside of North America. So we already have a presence in the U.K. We participate both into retail and the wholesale market. We have a company out of Ireland, as well. And what we're thinking about doing already are doing is basically extending our Irish company, essentially into the continent of Europe, but only into a very limited handful of countries where we can add value, and where we can believe can make a difference given our value proposition. In Latin America, we have now a small operation out of Chile. And similar sort of thought process on that thoughtful discipline, we think, well, we can add value. And we now have a base of operations in Singapore at the same time. And the idea for us is not to go around the world planting flags. It's really to select a few geographies around the world where we see a need for our product given either market dislocation, competitor dislocation, and when we can add value. And that's effectively what we're trying to do. From the perspective of what products we're targeting, essentially it's an upper middle market play more so than anything else, depending on the geography that will dictate, sort of the product range. If you are looking at the emerging markets in Asia and Latin America it’s going to be more of a first party play non cat. If you're looking at the more sophisticated markets in Europe, it's going to be a blend of first party lines and third party lines at the same time. But again, this is all a logical expansion from what we're doing in North America, and frankly, the success that we've had here.
Meyer Shields: Okay, thank you. That's very helpful. One quick question, if I can. We're seeing across the industry a lot of growth in I guess what people would term financial lines. And usually that means cyber gross, reinsurance communities actually went down for the quarter in the year. Juan, something that you could talk about maybe a strategy for cyber or other factors that are driving that decrease.
Juan Andrade: Yes, let me ask Mike Karmilowicz to provide some follow on that.
Mike Karmilowicz: Sure, thanks for the question. This is Mike Karmilowicz here. But cyber for us is a portfolio we entered about a couple of years ago. It's a very small portfolio. But we've been very diligent on our focus. It's more middle market driven. And the opportunity that we've been able to accomplish is really focusing on two key things from our perspective. One is really making sure the requirements, whether it's MSA or whether the risk profiles have all the hygiene and things that are necessary to make sure it's a required suitable risk is one thing we've been very sure to sell. So the market itself, with all the different rate increases, we've seen, has allowed us to sit there and really focus on just the things that we want to go after. So it's a very small portfolio. We're not -- we're just picking the rate and looking for opportunities. But I don't see that market is slowing down anytime soon. And we continue to look for the right risk profile with the right requirements around cyber hygiene. And if they don't meet that, will continue to kind of just move forward and manage it effectively.
Meyer Shields: Okay, fantastic. Thank you.
Operator: I would now like to turn the conference over back to management for closing comments.
Juan Andrade: Great. Thank you for all the questions and the excellent discussion today. As you can hear from our tone, we're optimistic about the opportunities before us. And we continue to build our company, accelerate progress and create value for our investors, clients and the markets that we serve. Thank you for your time for us today. And thank you for your continued support of our company. And we look forward to talking to you next in our Q1 results. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.